Tore Torvund: Good morning. This is Tore Torvund. I'm here together with my CFO, James May in Moses Lake. It's 11 o'clock in the evening in the West Coast of the US and welcome to the Discussion and Presentation of the Second Quarter 2021 for REC Silicon. The agenda for today we will -- Mr. James will give you an update on the financial for Q2. Then I'm going to give you a short update on our Butte Operations, a short update on the development in Yulin, and then I will spend some time on the solar value chain we are working on the non-Chinese low-carbon solar value chain. And I will end up the presentation with a short update concerning the silicon anode opportunities. And then we will open for Q&A. The results in the second quarter. The revenue came in relatively high at $35.6 million and EBITDA at $7.9 million. James will give you the details and the background for these numbers. The cash balance was $123.6 million by the end of June that is a decrease of $7.8 million. This is a quarter where we pay interest on our bond the $110 million bond. As you know we pay that twice a year in Q1 and in Q2. As you know we -- let's say the CARES Act what we call the PPP which was an opportunity to have a loan from the US government in relation with the pandemic which has been not only in the US, but also in the US [ph]. We have now of course the decision of these loans will be forgiven and that improve the situation or the EBITDA in the company. Butte facility, we increased the sales of silicon gas to 819 metric tons and we sold 375 metric ton of semiconductor-grade polysilicon and total sales was at 466 metric ton. All of this came from our Butte operations. When we come to what we are working on concerning business development, we are pursuing the negotiations with battery companies -- silicon anode battery companies and we have been very active in looking into the opportunity to create this US-based solar value chain and I will come back to this. I will then hand over to James May which will take you through more details of the financial results. So James?
James May: Good morning. As Tore indicated a moment ago, total revenues for the second quarter were $35.6 million, which represents an increase of approximately 27% compared to $28.1 million reported for the first quarter. This increase in revenues can primarily be attributed to higher polysilicon and silicon gas sales volume in the semiconductor materials segment, which I'll talk about in a little more detail in a few moments. Total EBITDA for the second quarter was $7.9 million compared to $4 million for the first quarter. EBITDA for the second quarter included other income of $8.3 million related to the forgiveness of loans guaranteed by the United States government under the CARES Act that Tore just mentioned. We've accounted for these -- this forgiveness as grant income which impacts the second quarter results for each of the company's operating segments. Excluding grant income, EBITDA decreased by $4.4 million compared to the first quarter. This decrease can primarily be attributed to EBITDA contributed by the semiconductor materials segment, which was impacted by higher electricity prices, lower production volumes to avoid the high electricity prices, higher costs due to the acceleration of planned maintenance, and lower quality because of manufacturing interruption caused by a lightning strike. In the Semiconductor Materials segment, revenues for our Butte facility increased due to higher sales volumes. Semiconductor polysilicon sales volumes increased from 227 metric tons in the prior quarter to 466 metric tons, an increase of 239 metric tons. A portion of this increase, approximately 165 metric tons can be attributed to the -- a sale of CZ-grade polysilicon, which was afforded by spot market opportunities, which we do not expect to reoccur. Overall this increase demonstrates the expected increases in demand for polysilicon because of conditions in the semiconductor market. In addition, silicon gas sales volumes increased from 781 metric tons in the prior quarter to 819 metric tons this quarter. EBITDA contributed by the Semiconductor Materials segment was $11.5 million for the second quarter, of this $4.5 million was due to grant income as a result of the forgiveness of the CARES Act loan within this segment. Excluding this item, the underlying EBITDA for the quarter was $7 million or a decrease of $3.8 million compared to the prior quarter. As you can see on the slide in the lower left-hand corner this decrease is attributed to higher electric prices, higher costs due to the acceleration of planned maintenance activities, lower manufacturing utilization due to accelerated maintenance and lower quality due to the production interruption caused by a lightning strike. These were offset by higher sales volumes due in part to the nonrecurring sale of CZ. During the second quarter the Solar Materials segment contributed $1.2 million in the EBITDA, of this $3.9 million was due to grant income as a result of the forgiveness of the CARES Act loan. Excluding this item, underlying net expense was $2.7 million and was in line with the results for prior periods. In Other, the net cost was $4.8 million and was comparable to net costs of $4.9 million reported for the prior period. Cash balances decreased by $7.8 million during the second quarter. Cash outflows from operations were $6.1 million and consisted of EBITDA of $7.9 million, which was offset by an adjustment of $8.3 million associated with the CARES Act loan forgiveness. Other outflows included interest payments of $8.5 million, of which $6.3 million is associated with the company's senior secured bonds and $2.2 million of the interest was due to the repayment of long-term lease liabilities. In addition there was $700,000 contribution to the frozen defined benefit pension plan in the United States. These were offset by a $3.2 million decrease in working capital investment, which consisted of $3.5 million decrease in inventories, a $1.8 million decrease in trade receivables, and a decrease -- which were offset by a decrease of $2.1 million in payables and accruals. The remaining $400,000 in cash inflows can be attributed to changes in other assets and liabilities. Cash outflows from investing activities were $1.2 million and were only -- were the result of capital expenditures only. Cash outflows from financing activities were $500,000 and were a result of the repayment of long-term lease liabilities only. In total, cash balances were $123.6 million on June 30, 2021. In terms of debt, nominal debt decreased by $8.9 million to $211.4 million at the end of Q2. This was a result of the forgiveness of the $8.3 million in CARES Act loans. And in addition, lease liabilities decreased by approximately $500,000 and the indemnification loan decreased by about $100,000 due to changes in exchange rates. Nominal net debt decreased by $1 million to $87.8 million. Nominal net debt decreased by $1 million to $87.8 million due to the decrease in cash of $7.8 million, which was more than offset by the decrease in debt of $8.9 million that I just discussed. Now, I'll return the presentation back over to Tore.
Tore Torvund: Thank you, James. Let me then give you short background what has been the results from our Butte Operations. It has been a difficult operational, let's say quarter, due to the extreme heat here on the West Coast of the US. The power prices has increased. As you probably know, we are exposed to these spot market, when it comes to power, due to the fact that we have had fires, but also the fact that the consumption or the power consumption has been extremely high due to the heat and the use of air conditions. Power prices has been way higher than what was in our expected. In addition, we had a lightning strike here in Butte which then took down our operations and we lost some reactors that means volumes and also quality had to be downgraded. So from an operational point of view, it has been a relatively difficult quarter. When we see the shipments 375 metric ton, you can see on the right hand side that we sold 165 metric ton of what we call TearDrop which is -- has been in inventory for many years. The fact that there is a very strong market out there, it was now possible to find buyers for this product in a relatively decent price. When it comes to semiconductor-grade polysilicon, definitely we see there is a very strong demand for this. On the other hand, I'd say we entered into contracts by the end of 2020. So the price will not be reflected on this increased demand until we renegotiate for 2022, the price of polysilicon. We assume that say there will be an increase towards 250 metric ton of semiconductor-grade polysilicon shipment by the end of this year. When it comes to our silicon gas, we delivered 819 metric ton, somewhat higher than what we did in the last quarter, which was 781 metric ton and we expect that it will gradually increase throughout the second half of this year. We still experience a lot of logistic issues. As you know most of our silane goes towards customers in the other side of the Pacific. And it has been difficult to get modules back from Taiwan, Korea, Japan and China because of the let's say the issues with finding ships to transport these modules back to the US, so we can fill them up again and vice versa. That means that we have some backlog. What we have focused on is to be able to deliver to our main customers, which is basically the semiconductor customers and we have then defaulted on the more let's say common customers in -- for example in the solar market. We are hoping that this logistic, let's say issues will be gradually resolved, but also, we think that it will still be logistics issues in the next two quarters. Let me then turn to our investment in China. The operational in China has been very encouraging this quarter. We have been able to deliver 3,840 metric ton of FBR granular. That means basically that we are towards 16,000 metric tons on an annual basis compared to the design basis of 19,000 metric tons. So the operation has improved considerably over the last months or over this year. And we now see also that due to the market and the relatively -- or very good market in China for our polysilicon, we are now cash positive in our operations in Yulin. The numbers will be affected in Q3 by a partial turnaround of one of the silane units. So we have to expect somewhat lower numbers in Q3. When it comes to the sales currently all production is sold out mainly to the high end and mono producers of ingots and wafers for the solar industry. So there is no doubt that the quality from Yulin is now reaching the specification which is necessary among those high-end producer of ingots and wafers. And our product is used in both what we call initial charge and on recharge application. So this is very encouraging. And this is say something which we let's say now use as background and has experience when we're now looking into restart Moses Lake. Just to repeat a little bit what is the say the technology advantages from FBR compared to what is our competitive technology which is called the Siemens Technology. First of all, let's say as I have told many times we are what we call a silane-based company. That means that FBR is then feeded by silane. FBR is only possible on a commercial basis, if you have silane as a feedstock. So, all the TCS-based Siemens they can't get into the FBR technology. So they are -- have to use the Siemens Technology. As I said Yulin FBR-B which was developed here in Moses Lake, but installed in Yulin has demonstrated excellent operational achievement. And we have as you -- I already have disclosed to the market we are now looking into upgrade half of the FBR-A that we actually receive in Moses Lake to achieve the quality we have achieved on the FBR-B and that upgrade is estimated to cost about $40 million. Why is FBR so efficient in making the polysilicon? First of all, let's say the energy consumption by using FBR is about 10% compared to Siemens. The reason why Siemens is not very energy efficient is that most of the energy is used to cool the vessels of the Siemens reactor, while in an FBR all the energy is used to transform silicon gas into polysilicon. The second thing is that, FBR is a continuous process. When you start a reactor and as you will see on the graph there, now in Yulin some of the reactors are approaching 400 days. They are still running. So that means that when you start a reactor, you can basically leave it there for more than a year. While when you have Siemens you basically have to -- that means you have to grow the polysilicon and you have the stock. You have to take out the polysilicon from the reactor. You have to reload the reactor and then you have to start up again. That definitely makes it way more labor-intensive. And our estimate is that we can make the same volume in Moses Lake by some 200 employees compared to Siemens for the same volume of some 3x more employees due to the fact that it is a batch process. Out in the market it has always been a question about the quality on the FBR side. And it is now nice to see what kind of quality we are making in Yulin. Top line there you can see that the black line is the specification for mono application in China and all the reactors running in June of this year in Yulin. They were well below the specification. And that's what I said. Polysilicon from Yulin is now in large demand due to the fact that it is very high quality, and that it has also other attributes compared to Siemens where you have to rush while our product can be – go directly into the process. We also tested by so-called etching. This – etching means that we expose the granular to some acid batch check out the surface contamination. And you can see then that we in fact meet the semiconductor grade and specification. That means that, what's kept out of the reactors are at very high quality, so it can in fact be used in semiconductors. So this is very good news, because it just showed that what has been a lot of the discussion about FBR it's the quality. Now we can demonstrate – now we can prove that the quality at least is at the same level than what we make in a Siemens reactor. So this is definitely important, because let's say, there is now a very strong focus to create what we call low-carbon US based solar value chain and the reason why I'm going to come back to. The US is the second largest market for PV installations in the world. Let's say approximately 20 might increase towards 30 gigawatts of solar panels are let's say installed here in the US every year. China is by far the biggest one, they are at 50. But the US is the largest – or the second largest market by country. The overall installation in this 2021 is expected to be between 150 and 160 gigawatt on a global basis. In the US, we have idled capacity. That means that, we have polysilicon, which is presently not being produced of approximately 10 gigawatts. So we have enough polysilicon capacity in the U.S. to cover half of the demand for solar panels. The reason why this capacity is not used is that, we do not have access to any ingot and wafer companies, because they are all now located, or almost all located in China. And that means that, we don't have any customer for our polysilicon. And that's why REC and other companies have idled capacities. Also, when it comes to sales, there is very limited capacity in the US less than one gigawatt, while there is more capacity available outside of China. And when we come to modules, it is definitely a capacity approximately 25% of all modules are made outside of China that means still 75% of the modules are produced in China. So China has overtaken this industry. And for President Biden, this is a dilemma. He wants to focus on renewable energy. On the other hand, with this situation all the manufacturing jobs will be overseas. There is no jobs created by – in the manufacturing of solar panels by – due to this trade war between China and the US. And that is probably not an acceptable solution that you have very focused in solar panels, but they all will come from – more or less from China. So we have been working on, let's say, how can we put together not only a US-based, but non-Chinese low CO2 carbon footprint value chain. And again, back to let's say, we have here in the US 10 gigawatt of polysilicon, which is just waiting to be started up again. When it comes to ingots and wafers, there is hardly any capacity available outside of China. And as I said, due to the trade war, we don't have access to the Chinese, which then dominate that part of it. When it comes to cell, there is 33 gigawatts available outside of China. And you can see on the top line where that is mainly located, the biggest cell capacity outside China is in Korea and in Taiwan. And when it comes to module capacity, the U.S. has four gigawatts, India and Korea has 11 and 8. So either you can invest in this value chain here in the U.S. or you can combine the value chain with non-Chinese countries to avoid using the -- or using panels made in China. There's a lot of political initiatives to support this. And as I said, it makes sense, because in Biden administration, one thing is to focus on renewables, that means to reduce extraction of oil and gas and coal. That means, again, that there is a loss of employment and we have to replace that with manufacturing jobs into renewable industry. So that is a very strong focus, not only from the Biden administration, but overall to try to unlock this opportunity. So, for example, the tax credit has been already extended by three years and it is a new legislation. They are now discussing if it should be added another 10 years with tax credit on this. I will come back to on the battery side, but there is the same push on the battery side. Basically the argument is that, if we don't do anything now in the U.S., the battery will be also made in China and we will have exactly the same situation as we have experienced in solar. Basically, it needs to be a strong push to create battery industry in the U.S. and the politicians are very focused and very aware of the situation, but it needs to be done something, not only on a company level, but also on a political level. We had the other week or last week the visit from, let's say, Governor Inslee from State of Washington. As you know, State of Washington is focusing on green industries. They have, let's say, officer headquartered in the State of Washington is, for example, Microsoft, Amazon and other big companies, Boeing as well. And there is six million people living in State of Washington and Governor Inslee is very focused on to create more, what we call, green industries. And he came to talk to us and to discuss with us what can be done not only on the federal level, but also on a state level to get something done on the solar side. And finally, as you all know, there is a discussion about the Uyghurs or the Muslims in the Xinjiang province. It has been in Europe. It has been very strong here in the U.S. And the senate just passed a bill a couple of weeks ago, where they ban products coming from Xinjiang to get into the U.S. market. It was five companies mentioned in total. Among those three polysilicon companies and three, let's say, as you know, Xinjiang is the, by far, the biggest region for making polysilicon. It makes about 60% of total production of polysilicon based upon coal-fired power, which definitely emits a lot of CO2. And there is also some allegation about using forced labor. I don't know if that's going to be very important, but at least there is a ban now. If, for example, it can be proven that the solar panel coming to the U.S. has used polysilicon or wafers from the Xinjiang, it should not have the opportunity to get into the U.S. market. There is also some initiatives along the same lines in Europe. So we are pursuing these opportunities towards the government, but definitely also we are looking into how could we as a business give solutions to what is now very attractive from a political point of view that means basically how can we be able to, let's say, support the creation of a PV value chain, which is not again based upon the products coming from China. Very short on the battery updates. We are continuing to have discussions with several silicon anode material companies or supply of silane to these companies. There is no more -- let's say, we have been talking about the framework for this kind of agreement, but we have not yet been able to get a commercial agreement, but we will definitely keep you updated if that will happen and when it will be happening. That's the update from REC Silicon for this quarter. And then we will be happy to answer some of the questions, which have been sent to us online.
A - James May : Apparently, we've done a very good job of answering questions. We have two questions. If you have a question please log them in. First question is, could you comment on the restart of the Moses Lake facility and when that might occur?
Tore Torvund: Yes. We are working towards a restart of Moses Lake in 2023. But it's definitely dependent upon that we do have customers, which then sign up to take our product either if it is polysilicon for the solar industry or it is silicon anode companies, which might take silane from our plant.
James May: Okay. The next question is, do you have any thoughts about the Group14 and SK Materials JV that was announced? 
Tore Torvund: Yes. As you know we have an MOU with G14. We have been -- let's say, we know that SK Materials is an owner in Group14. They came in as a 10% owner back in October last year. And we know that in that agreement also was an option to create a JV making silicon anode material in Korea. SK is our, let's say, main competitor in the silane market. They have relatively -- according to our knowledge, relatively limited capacity. And so what they're going to do in Korea is relatively small quantities of silicon and material. We wanted to talk -- what we have been discussing with Group14 is much larger facility here in Moses Lake. But again, we have not reached an agreement. But according to G14, it's also a need for having multiple supplies towards the auto industry. The auto industry will not rely on just one company just one plant. So in their strategy they are going to make some quantities in Korea, while they foresee that way more quantities should be made in the US. And definitely we have the silicon capacity available for doing that if they decide to build here in Moses Lake.
James May: Did you consider listing on the NASDAQ exchange in the United States?
Tore Torvund: We have not considered that.
James May: When do you expect to make a decision on the possible exercise of the option to increase the ownership interest in the Yulin JV?
Tore Torvund: We are presently looking into that option. That option is available for another couple of months. Most likely we will decide not to increase the ownership but the final decision has not yet been made.
James May: Are you more or less optimistic now than after Q1 regarding the Moses Lake startup?
Tore Torvund: Let's say, there is no doubt that, let's say, the PV market is very exciting. Let's say there is a demand for solar around the globe, but also particularly, in Europe and in the US. That's why we now focus very much on the solar market which is an existing market. When it comes to silicon anode, that's a market which needs to be developed, but we are pursuing both options. In one way we are let's say -- we are working with let's say companies when it comes to silicon anodes, companies which do have let's say a very strong belief that the silicon anode market will be let's say huge but it is not yet there. When it comes to the PV market, definitely the market is here in the US. As I said we have for US 10 gigawatt of polysilicon. We have five gigawatt of polysilicon available in Moses Lake. So, we are pursuing both strategies. If I'm more optimistic or less optimistic, I'm pretty optimistic that we will find a commercial reason to start up in Moses Lake within the timeline we have already given to the market.
James May: It's kind of an accounting question. You may want me to answer this one. Do the sales in the Yulin JV contribute to REC's revenues? And if it does what's the percentage of sales revenues? The Yulin JV is accounted for as an investment. We're currently carrying it on our books at the fair market value of zero. We wrote that down during the third quarter of last year. We don't consolidate so the revenues are not included. It will be shown only on the balance sheet. I think that's it.
Tore Torvund: Okay. Thank you so much for attending this conference. I would like to say that our next reporting is on October 20 and we will come back with what happens in Q3. And have a very nice summer holiday both in Europe and also those listening in from the US. Thank you.